Operator: Good morning, and welcome to the Restaurant Brands International, Second Quarter 2023 Earnings Conference Call. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Kendall Peck, RBI's Head of Investor Relations. Please go ahead.
Kendall Peck: Thank you, operator. Good morning, everyone, and welcome to Restaurant Brands International's Earnings Call for the second quarter ended June 30, 2023. As a reminder, a live broadcast of this call may be accessed on the Investor Relations webpage at rbi.com/investor and a recording will be available for replay. Joining me on the call today are Restaurant Brands International's Executive Chairman, Patrick Doyle; CEO, Josh Kobza; and CFO, Matt Dunnigan. Today's earnings call contains forward-looking statements, which are subject to various risks set forward in the press release issued this morning and in our SEC filings. In addition, this earnings call includes non-GAAP financial measures.  Reconciliations of non-GAAP financial measures are included in the press release available on our website. During portions of the call today, we will be referencing franchisee profitability measures that are based on unaudited self-reported franchisee results. In addition, the consolidated gross metrics discussed during the prepared remarks, including consolidated system-wide sales growth, comparable sales, net restaurant growth and organic adjusted EBITDA growth exclude the results from our franchise restaurants in Russia, as we did not generate any new profits from restaurants in Russia in 2022, and do not expect to generate any new profits in 2023. And now, I'll turn the call over to Josh.
Josh Kobza: Good morning, everyone, and thank you for joining us on today's call to discuss our second quarter of 2023. Our franchisees and teams helped deliver another solid quarter with year-over-year consolidated system-wide sales growth of 14%, driven by 9.6% comparable sales and 4.1% net restaurant growth.  This top-line growth translated to 10.3% organic adjusted EBITDA growth and 6.6% organic adjusted EPS growth. We saw strong comparable sales at Tim Hortons and Burger King, including 12.5% growth at Tim Hortons Canada, 11.6% in our Burger King International businesses, and 8.3% at Burger King US. In addition, Popeyes U.S. grew 4.2% and Firehouse U.S. was up 2.6% for the quarter.  We were pleased to see these top-line results, as well as continued moderation and overall cost inflation, helped deliver another quarter of year-over-year growth in franchisee profitability. Improving franchisee profitability remains one of our most important priorities, and I am confident in the plans we have in place to continue driving restaurant-level EBITDA growth this year for each of our brands.  As it relates to our own adjusted EBITDA growth this quarter, it was a little bit lower than our system-wide sales growth, which was largely due to previously discussed investments we were making in the Burger King U.S. system. Those investments are already delivering the expected results in top-line growth and franchisee profitability, and Matt will provide more detail later on.  We opened 169 net new restaurants in the second quarter, and overall restaurant count grew 4.1%. Development is always more heavily weighted towards the second half of the year, and our teams are very focused on delivering their full-year pipelines, while also setting in place plans for 2024.  Before I turn to our brand-level results, I'd also like to highlight that we released our 2022 Restaurant Brands for Good report last week, which discusses the achievements our brands made in becoming more sustainable. I encourage you to read about the progress we are making across our food, planet and people and communities pillars. While I am very proud of the work our teams are doing, I also know that this space is evolving quickly, and we are continually adapting to make sure we do the same.  Now let's turn to performance by brand, starting with Tim Hortons in Canada. We saw a healthy mix of check, traffic and strong calendar initiatives drive comparable sales of 12.5%, and system-wide sales growth of 12.8%. These results were driven by strength in our core offerings, continued expansion into cold beverage and PM food, improved speed of service, and a record year for Smile Cookie, which shifted from Q3 into Q2 this year.  Results for the quarter were also aided by improvements in mobility. During the quarter, we sustained our market share leadership across our core categories, including over 70% in hot brewed coffee and over 60% in breakfast. In addition to the growth opportunities in cold coffee and beverages, our market leadership in hot brewed coffee is higher today than it was in 2019, demonstrating the team's progress across all categories.  The team is making good progress with its efforts to become a bigger player in the high-growth cold beverage category and saw cold beverage sales grow 16.6% year-over-year. Cold beverage results this quarter were aided by the expansion of our Quenchers platform and innovation across our specialty cold coffee offerings. Sparkling Quenchers proved to be highly incremental to beverage sales and served as a good contributor to ticket growth this quarter.  We also further expanded our PM food offerings with improvements to our anytime snackers and new innovations around our loaded bowl and wraps, including barbecue crispy chicken, which attracted new, younger guests to our restaurants. These offerings contributed to 14.2% year-over-year growth in our PM food sales.  Moving to operations, restaurant team members have done a great job balancing the addition of our new food and beverage offerings with strong restaurant level execution. Our teams improved speed of service by two seconds year-over-year, reaching just north of 36 seconds for the quarter. Faster speed of service, combined with our new offerings, helped drive increased guest satisfaction and an increase in our QSR traffic share.  We're really proud of the digital experience Tim Hortons offers its guests and believe it can continue to drive growth for the brand. With 4.9 million monthly average users this quarter, we have the number one food and beverage app in Canada and have sustained a digital sales mix of roughly 33%.  To further engage Canadians and make it even easier to earn rewards, we partnered with two payment service providers to launch a Tim’s Credit Card that is fully integrated within our app. It's still early, but we are excited for this new way to engage and drive further loyalty with our members.  At Tim Hortons, we pride ourselves in being a community-led brand. This quarter, our beloved Smile Cookie campaign raised a record-breaking amount of almost CAD20 million for more than 600 local charities. Following Smile Cookie, Tim Horton’s restaurant owners, team members and volunteers raised an additional CAD13 million during the month of July for Tim Hortons Foundation Camps, our signature charity that turns 50 years old next year after helping more than 300,000 children in Canada and the U.S. over the years.  I'm really proud of the results Axel and the team continue to deliver in Canada. I also recognize the work the team is doing to sustainably grow the brand is really made possible by our incredible restaurant owners, their team members, and the support of their local communities. So I'd like to thank our restaurant owners and guests for their continued support and dedication. We've got an amazing brand at Tim's in Canada and a long runway for growth ahead.  Turning now to Burger King, the international business grew second quarter system wide sales by 18.4%, adding over $500 million of incremental sales year-over-year to represent nearly 60% of Burger King's worldwide sales in the quarter. These results were driven by net restaurant growth of 5.3% and continued top line strength with comparable sales of 11.6%, reflecting positive traffic as well as higher check. We saw a good performance in some of our largest markets like France, Australia, the U.K. and Spain, as well as markets where the brand is growing more quickly, such as Japan. We were also encouraged to see Australia join France, Germany and Spain as the fourth international market to surpass the $1 billion system wide sales mark on a trailing 12 month basis.  Our teams and master franchise partners take a guest centric approach to everything, from menu innovation to marketing. In general, we have newer restaurants overseas and as a result, more modern brand positioning with enhanced digital capabilities in both the front and back of house. These capabilities also help unlock operational improvements in the business, enabling the teams to deliver an even better guest experience. Our success internationally gives us confidence to leverage key learnings as we enhance Burger King's brand positioning and its home market as well.  So shifting now to Burger King in the U.S., comparable sales increased 8.3% year-over-year and system wide sales grew 7.9%. Our total net restaurant declined 2.2% year-over-year as we carry out our commitment to enhance the overall health of the system. We are making good progress on this front and have continued to see meaningful improvements in franchisee profitability.  Growth this quarter was driven by thoughtful calendar initiatives, focused on our flagship equity, the Whopper, as well as benefits from more effective marketing aided by enhanced marketing analytics and continued operational improvements.  Our Ways to Whopper campaign reminded guests that they can have it their way and choose between one of the over 220,000 ways to build the Whopper. We layered this campaign with the Whopper Jr. Duo, our core discount initiative and the Spider-Verse Whopper promotion, both of which were targeted towards building the next generation of Whopper lovers. These campaigns drove higher average tickets and attracted younger guests without impacting core Whopper volumes.  During Q2 we spent approximately $12 million of our $150 million Fuel to Flame advertising and digital investments. These investments coupled with our continued focus on enhancing operations helped drive another quarter of underlying improvement in traffic, although we are still not in positive territory.  I'm confident that further improving operations will ultimately support growth in traffic, which is one of the most significant near-term opportunities we see for the brand. When it comes to operations, we saw another quarter of guest satisfaction improvements at BKUS, but still believe we are only in the beginning of our journey here.  Tom has stressed, and I fully agree, that the path towards excellent operations is continuous, because the goal should always be to execute even better than you did the day before. This is at the center of everything we are doing as the BK team works with franchisees to raise our brand standards and deliver a better guest experience.  Some of the ways we are achieving this are through Gold Standard Service Trainings, which have driven encouraging results, including higher Whopper product satisfaction scores.  Another example is the addition of guest lens visits to our franchise success system, where a restaurant is evaluated through the lens of a customer's experience, capturing some of the nuances a formal restaurant visit may miss.  As part of our $250 million Royal Reset program, in Q2 we deployed $9 million towards the $50 million short-term refresh component to equip restaurants with the technology they need to deliver a great experience for both team members and guests.  Participating franchisees have matched our spend dollar-for-dollar with investments in essential kitchen equipment like toasters and broilers, which will largely roll out in the back half of the year. The $200 million remodel program is also underway, and we're pleased to see franchisees prioritizing quality with over 75% of committed projects locked in for full remodels or scrape and rebuilds.  Q2 represented another important step towards our greater goal of driving traffic back to the system and delivering a strong value proposition for our franchisees. These early results from Reclaim the Flame and our talented team and dedicated franchisees give us confidence in the trajectory of the brand, and we look forward to continuing to execute against our plan and drive further growth this year.  Turning now to Popeyes U.S., where Sami and team are in the early stages of the brand's multi-year strategic plan, Easy to Love, which is coming to life through core menu extensions, operational improvements and the development of easy to run kitchens.  Popeyes in the U.S. grew comparable sales 4.2% and net restaurants 5.1%, resulting in system wide sales growth of 9.4%. Top line momentum was driven by the extension of our chicken sandwich platform, Ghost Pepper Wings, innovation across our beverage and dessert categories and 22% growth in digital sales.  This quarter featured the return of our Blackened Chicken Sandwich, a delicious, lighter, unbreaded option that is well suited for the everyday occasion. We are also now giving guests the option to add bacon and cheese to all of our chicken sandwich offerings, including Blackened.  Outside of our core, we brought back Ghost Pepper Wings to our menu and built on dessert and beverage offerings with strawberry biscuits and mango lemonade. At our Popeyes U.S. restaurants, team members prepare, marinate and hand bread, our bone and chicken to produce the Louisiana Chicken guests know and love.  We are in the early stages of growing our opportunities to make our kitchens easier to run for team members by leveraging the learnings from our international markets to help reduce back of house prep times and enable more consistent product execution.  While we improve the capabilities of our existing restaurant base, we are also positioning the brand to capture more opportunity across North America with both existing and new top tier operators. I'm confident that the team and priorities we have in place are pushing Popeyes forward on the right path, and we're excited to continue expanding.  Finally, Firehouse Subs, which grew comparable sales 2.1% and increased system-wide sales by 5.1%. In the U.S., comparable sales of 2.6% included an approximately 1% negative impact from a major outage affecting our main third party technology provider, NCR. This resulted in several Firehouse sales channels being down throughout April and May. We and our franchisees are disappointed by the impact of the business and slow recovery by our vendor partner, but are highly focused on improving system resilience for guests and our restaurant team members.  Moving forward, one of our top priorities since adding Firehouse to the RBI family has been to position the brand for higher growth by enhancing its development capabilities. We really leaned into this key focus, outlining an exciting long-term development path for franchisees at our recent Firehouse Subs family reunion in July. It was great to spend time with nearly 300 franchisees and their families over the course of a few days in Orlando. It's clear to me that we have a passionate group of franchisees ready to realize the growth potential of the brand.  During the quarter, in the U.S. and Canada, Mike and team completed the transition from an area representative structure to a more traditional corporate and franchisee led development model, which mirrors the framework of the rest of our brands. This quarter also marked the start of the brand's global expansion with the opening of our first overseas Firehouse location in Zurich, Switzerland. The restaurant offers guests the Firehouse menu we know and love with a reimagined guest centric restaurant design, including 100% digital ordering, and serves as a great showcase for future international development opportunities.  The team also established the Firehouse Subs Public Safety Foundation of Switzerland, modeled after our existing public safety foundations, which has surpassed $80 million of grants awarded since inception. Lastly, we were pleased to announce a long-term development agreement in Mexico recently and are working hard to bring this iconic brand to even more countries all around the world.  With that, I'll turn it over to Matt to discuss our financial results for the quarter. 
Matt Dunnigan : Thanks, Josh and good morning everyone. For the second quarter, our global system-wide sales grew 14% year-over-year. Our adjusted EBITDA grew 10.3% organically, and our adjusted EPS was up 6.6% organically. The difference between our system-wide sales growth and organic adjusted EBITDA growth this quarter was primarily due to the $12 million Fuel the Flame investments at Burger King U.S.  In addition, our adjusted EBITDA growth was impacted by the lapping of $5 million of net bad debt recoveries in Q2, 2022, as compared to $3 million of net bad debt expense this quarter, primarily at Popeyes. As a reminder, 2022 saw quarter-to-quarter volatility in bad debt, including nearly $6 million of net bad debt expense in Q3 of 2022, which primarily impacted our Burger King segment.  Now turning to G&A, we remain focused on driving solid cost discipline across the business and saw segment G&A come in at $100 million this quarter, which was relatively flat quarter-over-quarter and up approximately 3% year-over-year. I note that the $7 million increase in segment G&A at Burger King U.S. this quarter was partially driven by the lapping of a nearly $4 million compensation-related benefit in the prior year period.  As I've mentioned on prior calls, we expect our segment G&A growth will moderate significantly in 2023 versus ‘22 and have seen this come through so far this year. That said, we anticipate a modest sequential increase in the year-over-year rate of segment G&A growth, largely related to higher compensation and technology expenses in the third quarter.  Shifting to EPS, our second quarter adjusted earnings per share was $0.85 compared to $0.82 last year, representing an organic increase of 6.6% year-over-year, excluding an FX headwind of about 3% or $0.03 per share.  Our adjusted EPS also included a headwind of $0.02 per share from our Burger King U.S. Fuel to Flame investment, which was offset by $0.03 per share net benefit related to discrete non-cash tax items. Our adjusted net income was also impacted by higher adjusted net interest expense of $125 million and equity-based compensation of $47 million. We continue to expect 2023 equity-based compensation to be between $190 million and $200 million.  Turning to cash flow and capital allocation, during the quarter we generated over $360 million of free cash flow. Our cash flow this quarter was impacted by $22 million of Reclaim the Flame investments at BKUS, which included about $12 million towards Fuel the Flame and $11 million towards Royal Reset.  In addition, we saw higher cash interest as a result of increased market interest rates. As I mentioned last quarter, although effectively 80% of our debt is locked in at fixed rates over the next five years, our free cash flow metric does not reflect the benefit of both the interest rate and FX hedges we have in place, which were a positive cash benefit of over $45 million in Q2.  We also returned $249 million of capital to shareholders through our dividend, which we declared for Q3 at $0.55 per common share and unit, with a 2023 full-year target of $2.20 per share. We ended the quarter with the available liquidity of approximately $2.2 billion, including $1.2 billion of cash, and our adjusted EBITDA net leverage ratio was 4.9x, with a clear path to reach our target of the mid-4x level ahead of schedule. With that, I'll hand it over to Patrick for some additional thoughts on the business. 
Patrick Doyle : Thanks, Matt, and thank you all for joining us this morning. I've now been with RBI for nine months. It's been amazing to get to know so many leaders that are doing exceptional things, amongst our franchisees and our brand teams.  When we had our investor events in New York in February, I told you all that I still had the benefit of being new and bringing it outside perspective to the business. I've been here long enough now that I'm starting to know a little. A big part of my role as Executive Chairman is to represent the interests of all of our shareholders, and that starts with giving you direct insight into how the businesses are performing and what I see as their opportunities.  Broadly, the businesses performed very well in the second quarter. Same store sales came in just under 10%, system wide sales growth was 14%, adjusted EBITDA at the RBI level was up 10% organically, and our franchisees average profits were up even more than that. And most of our brand metrics are moving in the right direction, reflecting brand strength, improving operations by our franchisees and good marketing efforts from our brand teams. I'd put the quarter solidly in the win column.  But we also still have lots of opportunities. Net store growth was solid, but not what we aspire to. That said, as restaurant level profitability continues to improve, I'm confident that will accelerate. Tim Hortons and our brand's international businesses, both had a very nice mix of order growth and ticket growth. But growth in our home markets for Burger King, Popeyes and Firehouse were all ticket with order counts flat to slightly negative.  Ultimately bringing in more customers over time is the best measure of the strength of a brand. Comparisons on order counts will get easier in the second half, but we need consistent growth across each of our brands and businesses.  And finally, while we're making very good progress on store level profitability, I want to be clear that we aren't where we need to be. The progress is good, but greatness for each of the brands requires that we generate a great return for our franchisees.  We have a very clear, focused understanding of how to grow each of our businesses. If I were to still be down for each brand's home markets, I'd say for Tim Hortons, Canada, its PM daypart, and broadening our beverage offering. For Burger King U.S., it's operations and modernization. For Popeyes, U.S., easy, easy, easy, and for Firehouse, development. And for each brand internationally, I think the word is pretty clear, grow, grow, grow. And for each of these, it's wrapped in constant focus on store level profitability.  Let me start first with our home markets and then turn to the rest of the world opportunities. At Tim Hortons in Canada, it's all about growing the PM daypart and giving Canadians even more reasons to love and engage with the brand. We've made great progress improving our market share in lunch, afternoon snacking and dinner, and that's because of both, new food platforms and beverage platforms that take us well beyond what originally made us famous.  We also continue to win back traffic in our morning daypart, and ensure Tim's remains Canada's most loved breakfast destination. In my view, with Axel and the team's long-term plan well underway for the PM daypart, coupled with our unparalleled convenience across Canada, we have a long runway of traffic and sales growth for this amazing brand. I simply can't overstate how strong Tim Hortons is in Canada and how optimistic I am about its future growth.  At Burger King in the U.S., it's about operational execution and modernization. All the fundamental work the team and franchisees have done is paying off, led by wins in both operations and marketing. We already have our $400 million Reclaim the Flame investment being put to work and I think that long-term there is more we will consider doing, especially around digital-centric remodels, as Tom and the team continue to deliver strong results and returns on our investments. In the meantime, the team is working to grow traffic as we continue to refresh this amazing brand.  At Domino's in the U.S., we're focused on easy, making our restaurants easy to run, our food easy to crave, and our products easy to access. As part of our easy to love plan, we are committing to redesigning the kitchen and we unveiled the new kitchen remodel at our franchisee convention earlier this summer. We have a handful of locations that already have this in place and Sammy and team are working closely with franchisees to gather feedback.  Simplifying our kitchens means offering our guests faster, more accurate service and taking a big load off our team members, who will be more likely to stay with the brand for longer as their overall kitchen experience is simplified.  At Firehouse U.S., we just need way more people to have access to it. You've heard me say before that I think we have absolutely the best food and beverages in QSR, including the subs at Firehouse. Mike and team's mission is straightforward, build a lot of restaurants, with a lot of quality franchisees and do it quickly. I believe you'll see a ramp up in our home market starting in 2024.  As we look to the rest of world opportunities, the focus is on accelerating development with quality partners and generating great returns for those partners. David and the international brand teams are leveraging our best-in-class development capabilities to bring Tim's, Popeyes and Firehouse to new markets, while further growing Burger King in existing markets.  We have a diverse set of well-capitalized master franchise partners and on average, the sales and unit economics in our international markets are really good. Between the improvements we're driving in our home markets and momentum we are seeing internationally, I am confident we will get our net restaurant growth to the 5% plus level in 2024 and beyond.  I remain committed to having our most important measure of success across all these areas, being franchisee profitability and attractive paybacks for their ongoing investments. Each one of our brands is on track to deliver year-over-year performance improvements on this basis and we'll share that with you in our Q4 earnings call in February.  As a final comment, I'm very pleased to see the entire team's hard work paying off in our business results. It's very encouraging to see the brand teams moving the averages up and our franchisees getting more and more excited about investing their resources and time in giving customers a great experience. That partnership is what generates the magic in our business.  I'd like to thank everyone again for your support and for joining us this morning. Now, I'll hand it back to the operator to take your questions. 
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Andrew Charles of TD Cowen. Your line is open. Please go ahead. 
Andrew Charles : Great. Thank you so much. Patrick, a question for you. Can you elaborate on your comment for considering more investments in Reclaim the Flame? Tim Horton’s in the U.S. performed exceptionally well on both the sales and the franchisee profitability. I'm curious, you know what you need to see to execute this potential second investment to continue to accelerate the turnaround there. I think we can call it a turnaround at this point, as well as you know just a comment on the digital renovations, what those potentially look like. Thanks. 
A - Patrick Doyle: Yes. So Andrew, thanks for the question. So, early on in the process of doing these re-images, we're seeing very promising results. From doing those re-images, lifts that we're getting in sales, it's generating a good return for us and the franchisees, but it's early. And so what we've got to see is more results and a good return for the franchisees and for us. And we become convinced that it's definitely generating what we both need to see, then we're certainly going to consider more and that's fundamentally it. 
A - Josh Kobza: Yes. Maybe Patrick, if I can add a couple of things there. Good morning Andrew, and thank you for the question as well. I think we intentionally set up the Reclaim the Flame plan to focus on the first two years here in 2023 and 2024 and I think the goal as Patrick said was to prove out that we can generate both compelling and consistent returns through remodels. And we're just a little bit into that experience. It's a small sample size so far. But I think we're accomplishing both of those goals and I want to see us do that at larger scale now, over the next year or two.  But in the longer term, I think our point of view is we need pretty much every Burger King all across the country to be modern, convenient and competitive with all of the other concepts out there that have new and modern buildings. So I do think we need to go farther in the subsequent years, and it's important we really prove out the kind of early returns here now.  And I think if I can maybe take a piece on the modern and digitally enabled restaurants, I think there's a couple of different ways that we can do that. One of the ones we've been focused on recently is we're spending a bit more time on kiosks. We've done another pretty big test here in our company restaurants, and we're seeing a much better guest reception to kiosks than we might have seen say five to seven years ago in the U.S. So we think that's an interesting avenue to explore further, and Tom and the team are going to be expanding some of that testing over the rest of this year. 
A - Patrick Doyle: I also need to point out, it was just pointed out to me by a few people that I said Domino’s during the script instead of Popeyes. I'm sending Russell $20 by Venmo to fix that. Sorry about that. 
Kendall Peck: You can take the next question please, Candice. Thank you. 
Operator: Thank you. Our next question comes from Brian Bittner of Oppenheimer. Your line is now open. Please go ahead. 
Brian Bittner: Thanks. Thank you. Good morning. I thought I heard that Patrick. You confirmed it. 
A - Patrick Doyle: Oops. 
Brian Bittner: Patrick, you suggested that unit growth could reach the 5% plus level in 2024. I think that's a pretty important comment and I think you'd have to see a pretty measurable acceleration in Burger King to get there, just given its size and given its contribution to RBI's unit growth. What do you anticipate to drive this implied acceleration in the Burger King business moving past this year? And separately, Matt, just as it relates to 2023, do you still anticipate 2023 unit growth to accelerate versus 2022 or has that changed? 
A - Patrick Doyle: Yes. So Brian, thanks for the question. So, there are really just a few things. First of all, if you look at the closures that we've talked to you about on Burger King in the U.S., as that picture improves in the U.S., you've already got half a point to push and a point of improvement from that. So we're already a bit over 4%. If you just eliminate over time any reduction in net stores in Burger King in the U.S. The math says you're now in about the five range.  And then if you look at what I think is pretty extraordinary story within all of this. You know, if you look at the net restaurant growth in the rest of the world for the other concepts, you've still got rest of the world growth north of 5% for BK in the rest of the world, but you're at 24% on Tim Hortons, 27% on Popeyes, 48% on Firehouse. Those are big businesses and as they continue to scale, plus hopefully getting some incremental growth from Firehouse in the U.S. and from Tim Hortons in the U.S., I mean it just – the picture says that 5% starts looking very, very doable. 
Josh Kobza: Yes Brian, I'll just take the other piece of your question. This is Josh. Yes, we do still expect 2023 growth to be higher than 2022 for restaurants. 
Brian Bittner: Thank you. 
Operator: Thank you. Our next question comes from the line of David Palmer of Evercore. Your lines are open. Please go ahead. 
David Palmer : Thanks. Patrick, you mentioned getting back to 5% unit growth in 2024 and beyond, and I know it's ancient history now, but there was an Analyst Day back in 2019 where you talked about, where the company talked about 5% unit growth, 2% to 3% seamstress sales growth, 7% system sales growth and mid to high single digit EBITDA growth. I'm wondering how you all feel about that full slate of targets as you look to the next few years. What are the key variables, areas of upside, downside as you think about those targets and are they relevant? Thanks. 
A - Patrick Doyle: Well, I'd say a couple things and I'll kick it to Josh, since Josh was actually here in 2019 when that was said. But yeah, look, I think the biggest thing that's changed is inflation. I think when we said 2% to 3% comps, we were probably expecting 1% inflation and clearly ticket growth has been higher as a result of overall inflation levels around the world over the last year or 18 months. So that has clearly changed from where we were.  But from a store growth standpoint, I think it's very much on and as I just said to Brian, I mean, you work through the math and 5% plus certainly looks very doable. I think we had put out a 40,000 restaurant target over the course of, I don't know, I think it was four or five years and you look at that and it certainly looks very, very doable. 
Josh Kobza: Yes Dave, I would just reiterate what Patrick said and I think we need to see how inflation evolves over the rest of this year and what the outlook is into next year. And I think maybe once we get to the end of this year, we can have a little bit more normalized view on what we think some of those growth statistics look like going forward. 
Operator: Our next question comes from the line of Dennis Geiger of UBS. Your line is open. Please go ahead. 
Dennis Geiger : Thank you, and congrats on the strong results. Wondering if you could talk a little bit more about Burger King U.S. traffic momentum and the ability for the strategic plans to continue to drive that traffic improvement going forward. I think Josh and Patrick, you both spoke to kind of the continued improvement in operations as being a key support for the improvement in traffic trends. So just wondering if anything more there on how to think that operations improvement trajectory, as well as sort of other critical drivers to continue to strengthen those traffic trends. Thank you. 
A - Josh Kobza: Yes Dennis, thanks so much for the question. And for sure, Burger King U.S. traffic is a big focus area for us. It has been and will be into the remainder of this year. I mentioned it a little bit in the prepared remarks, but we have seen improvement sequentially in that same store of traffic, so it's getting better, but it's still slightly negative. I think our goal for sure in the next couple of quarters is to turn that to flat and then positive over time.  And I think a couple of the big structural things that we're doing to improve that; one, we've been really focused on our advertising, both the quality of that. And as you saw in the second quarter, we're starting to ramp up that Fuel to Flame investment. We haven't spent that much of it yet. We've been starting to ramp up some of that spending, so some of those advertising dollars are definitely an important element there.  We're also extremely focused on operations and of how we deliver in the restaurants every day is what brings the guests back more often. And Tom and the team have really put a lot of effort into training at the restaurants, especially around producing incredible Whoppers every day, every time, and you see it's focused a lot on Whopper, Whopper Jr., Spider-Verse Whopper. So we're really trying to make sure that the product we deliver every day is excellent and brings back our guests.  And then you haven't seen this too much yet, but you'll see more and more of the remodels. We're going to do really high quality remodels investing the proper dollars into those. And I think you should see that kind of become an increasingly important part of the equation later this year and into next year.  So those are some of the big factors that I think are helpful to us to turn around the traffic equation. Yep. Patrick, anything you want to add there? 
Patrick Doyle : No. We're good. Perfect. 
Operator: Our next question comes from the line of Brian Harbour of Morgan Stanley. Your line is now open. Please go ahead. 
Brian Harbour : Thanks. Good morning. Maybe I'll ask about Tim Hortons in Canada. You quantified some of the initiatives certainly and how they are working, but could you kind of separate out how much has still been kind of mobility driven? Do you think that we're mostly past the mobility recovery at this point? And then just also on the supply chain there. I know in the past we've talked about working through some of that higher cost inventory. Are you mostly past that at this point where we'll start to see more normalized kind of supply chain profits? 
Josh Kobza: Yes Brian, thanks for the question. I'll take the part on the same store sales, kind of composition and some of the drivers there, and then I'll let Matt take the one on supply chain. In terms of what drove the performance, there's a little bit of mobility benefit, but I think that started to level out a lot. What we see from Q1 to Q2 is relatively stable, so I think we're back to a little bit more normalized world there where it's not changing so much quarter-to-quarter. I really think the bigger drivers of what we saw in this quarter are a lot of the big initiatives that we have on where we're taking the business. So you saw things like cold beverage was a really big contributor. We've been very focused on things like Quenchers, launched Sparkling Quenchers, which is just a sparkling water version of our existing Quencher platform. That proved to be very incremental to the business.  We've also been focused on a lot of the PM food initiatives that we've talked about with our loaded bowls and wraps. We launched the barbecue chicken version of those this quarter, which was very fitting for the summer and performed really well. And you're seeing those things move our business. So we're moving in market share in some of those dayparts, and they're becoming a bigger mix in the business.  Just one stat to give you a little bit of a reference, cold beverage used to be about 30%. If you go back about four years ago, now it's 40% of our mix. So we're starting to see pretty big movements in the composition of the business as we get traction in some of those categories.  Matt, do you want to take the next slide? 
Matt Dunnigan : Hey, Brian. Thanks for the question. On the supply chain, I think as you all know, we had quite a bit of volatility to work through last year into this year with higher commodity prices, impacting and increasing both sales and cost of sales, and therefore margin percentage. I'd say we've started to see things normalize. This quarter margins were fairly flat sequentially at levels consistent with where we've been trending and kind of what we expected. And I think overall at this stage, our focus is on the underlying business, which we think is doing very well as you heard from Patrick and Josh, and driving volumes through that business, through the strategies they talked about. And as a result, gross profit dollar growth, which was up about 7% year-over-year organically in the quarter for the business. 
Operator: Our next question comes from the line of Eric Gonzalez from KeyBanc. Your line is now open. Please go ahead.
Eric Gonzalez : Hey thanks. Congrats on the progress this quarter. Maybe another one on the Burger King U.S. business. As part of Fuel to Flame, the advertising investment, it would seem that you're taking a more measured approach to deploying those resources. This is maybe a bit different than what we saw at Tim Hortons and what some of your peers have done with celebrity endorsements. So I was hoping you could speak to that strategy a bit and talk about how you are building a multi-year plan to reposition the brand versus maybe the blasted out of accounting strategy that we've seen elsewhere. Thanks. 
Patrick Doyle : Yes, Eric. Thanks for the question. And I do think you characterized well that our plan is to be steady and build the business over time, lessen kind of the stunts. We're really trying to focus on a lot of the core equities and building those progressively over a couple of years.  We're focused a lot on the quality of the advertisements, how they resonate with guests. And I think the good news is you're seeing it work in the results. The same-store sales have moved in the right direction. And to your point, we've got a lot of the firepower left. We've got a year and a half or so left in that initial two year period and we still have a lot of the dollars left to spend. We're not in a place to give exact cadence on how we'll spend that over the next couple of years, but it will be somewhat evenly. 
Operator: Our next question comes from the line of Chris Carril of RBC Capital Group. The line's open. Please go ahead. 
Chris Carril: Thanks. Good morning. So maybe just following up in the longer term development in ‘24 and beyond. Can you maybe expand a bit more on the Popeyes brand in particular? Yes, the net growth there for the Popeyes brand was the strongest contributor in the first half, and maybe with a new Easy to Love strategy in place for the brand, how are you thinking about the pacing of when the brand could be maybe a more meaningful contributor to the overall global consolidated unit growth longer term. Thanks. 
Josh Kobza: Yes, Chris. Thanks and good morning. Yes, we are very excited about Popeyes, both the results I would say and the long term development outlook. You know, I think if you look at the U.S. business, while we are making improvements on the easy to run the kitchen, we've been growing at a really good clip and we continue to do so. We are one of the fastest growing free standing drive-through concepts out there and we've had pretty consistent and strong growth in the US.  I think what's evolving right now is the international piece of that growth, and you know if you look at it in the quarter, we're now up to 27% year-on-year growth outside of the U.S. So we're really starting to ramp up the pace of development in many other countries around the world and I say that that's pretty broad based. We're growing in places like Brazil, Spain, India, the UK, France, Canada. It's all over and we're really starting to get a lot of traction. Some of those markets are starting to get to scale and we're seeing really good results in terms of the sales of those restaurants.  So I think that's what's started to evolve. We're getting more and more traction in more places around the world and that's one of the reasons why we have a lot of confidence in terms of where our overall net restaurant growth is going to go in 2024 and beyond. 
Matt Dunnigan: The only thing I'd add to that is the numbers that Josh just gave you are the restaurant growth numbers. If you look at system wide sales growth for the rest of the world for Popeyes, we're up 47.9% year-over-year in the second quarter, lapping 38.8 the previous year. I think people have discovered that Popeyes is pretty good outside of the U.S. 
Josh Kobza: Yes, I think – if we look at globally at all the segments, the chicken segment is obviously very compelling around the world. Its a big segment, it’s a growing segment and we've got a concept in Popeyes that really resonates with guests all over the world and I think you're just starting to see that show up in some of our numbers. 
Operator: Our next question come from the line of Sara Senatore of Bank of America. Your line is now open. Please go ahead. 
Sara Senatore: Great, thank you. Just actually two quick follow-ups. One is about Tim's. You said you maintained leading market share. I just wanted to understand, is that to say that using the Tim's business kind of grew with the industry overall. I know you compete in a lot of dayparts and segments, but as we think through kind of the benefits of mobility versus market share gains, I'm trying to decompose that.  And then just on Burger King U.S., if I could maybe ask for a little bit more detail. You know what’s I guess the event path from here in terms of driving traffic. Do you need to bring more people in for trial? I know you're improving operations, so it's just about frequency or bringing in laps guests. Just trying to understand the drivers and how we should think about it with the recognition that compares to in the back half. Thanks. 
Patrick Doyle: Yes, good morning Sara. On Tim's, I would say we in the aggregate are growing faster than the market we are gaining market share. And what I referenced in terms of maintaining market share is more ultimately our core kind of legacy category, I think things like breakfast food and our hot brewed coffee. But on top of that, we're gaining market share in some of those higher growth categories that we've been focused on, things like cold beverages and PM food. So those are the dynamics of some of the things we're maintaining market share and growing market share, but in the aggregate, we think we're growing faster than the market.  On Burger King in the U.S., I would go back and probably just reiterate what I said before in terms of what we have left to come. We've got more and more advertising dollars that we're going to be prepared to spend. I think that Tom and the team are making really great improvements on operations, working together with our franchisees who are increasingly engaged in driving higher quality operations.  We see this in all of our metrics across the business that are things like speed of service and guest feedback are all getting better and they have been for a number of quarters. And I think we're going to layer on top of that some of the capital that's going to go into the business. I don't think you've really seen that yet, but you will over the next kind of four to six quarters. You'll start seeing the new technology in the restaurants, you'll start seeing upgrades to the equipment in the back of house, and you're going to start seeing more high quality remodels. And I think all those things give us confidence in the direction of the business. 
Operator: Our next question comes from Daniel Gartulio [ph] of Bernstein. Your lines are open, please go ahead. 
Unidentified Analyst: Thank you. Can you please give us some color on the evolution of the expansion of your brands in China? In particular, some brands had some challenges in the past, so what's different this time? And maybe in particular, if you can focus also on team's evolution, how are they reacting to the intensified coffee competition in China? Thank you. 
Patrick Doyle: Yes, thanks. I'll address each of the brands in turn. Now, I think if you look at BK, we grew at a really rapid pace for a number of years through the teams, and then we slowed down a bit during COVID, and I think we're starting to come out of that. We're starting to see improvements in the pipelines and the outlook for growth at BK China. I think the team there is increasingly engaged and focused on ramping back up the pace of growth.  And we're seeing improved sales performance as well. If you look from Q1 into Q2, the same sort of sales picked up, both for Burger King and for Tim's. We had double-digit comparable sales at both the brands in the second quarter, so I think the sales performance is picking up too.  At Tim's, it has been a huge growth story. We've ramped up our store presence pretty rapidly over the last few years since we entered. To your point, it is a competitive market, but we're very focused on providing a differentiated product and experience that some of our competitors don't offer there.  And lastly, with Popeyes, which we're incredibly excited for, you will see we signed a new master-franchise partnership a few months back, and we're really excited to open some of our first restaurants again. We expect that'll happen in the next couple of months, and we can't wait to see the reaction to having Popeyes in China. It's one of the things that we think has some of the most potential anywhere in the world for our business. 
Operator: Our next question comes from the line of Brian Mullan of Piper Sandler. Your line is now open. Please go ahead. 
Brian Mullan: Thank you. Just a follow-up on Tim's Canada, specific to the loyalty program. Is that starting to become a more meaningful driver of the top line versus what we've seen in the past? And then, even if not just yet, maybe could you just talk about how you see the program evolving in the coming years, and whether you believe this represents a future tailwind to the transaction growth from your very large user base in the country? Any thoughts would be great. 
Josh Kobza: Yes Brian, good morning and thanks. We are really proud of the work that Axel and his whole team and the folks that are working on the digital business have done. In a country of 38 million people, we have 4.9 million monthly active users. It's really something tremendous. And I think Tim’s Rewards has evolved to become a really important part of the business and I think it has been important in driving customer loyalty in some of our sales. I think what you've seen happen recently is we've been expanding what Tim’s Rewards means.  We have more contests that you can play in the app. And now, you probably saw very recently, we've expanded it into a co-branded credit card program. And I think what you can expect over the next couple of years is more of that. We'll expand what Tim’s Rewards can be. We'll expand kind of the reach of that into all of our other parts of our guest lives. And we think it's going to become one of the, it already is, but we think it'll become an even bigger presence within the Canadian loyalty market across a lot of different banners. 
Operator: Our next question comes from Joshua Long of Stephens. Your line is open. Please go ahead. 
Joshua Long : Great, thank you for taking my question. In your prepared comments, you noted the opportunity, particularly in leveraging learnings from Popeyes International. Curious if that's something that is still an opportunity across the other brands in the portfolio, if that's already kind of largely come to bear or just where we're at there in terms of being able to cross-pollinate ideas across the global unit base. 
Josh Kobza: Yes Joshua, I'll make a couple of comments and see if Patrick has anything to add, too. In Popeyes, we are absolutely bringing some of the learnings that we had on making the kitchens easier to run to the U.S. Patrick and I actually visited one of the first easy-to-run kitchens here in Florida; fantastic franchisees restaurant just north of our office here. And its early days, but we're really excited by both, some of the ideas that are being brought and the impact they are having on the kitchen, and the pace at which the team is working.  The Popeyes team is doing a great job bringing those – bringing some of those ideas to life in our restaurants here. I think the other biggest place that we can bring learnings from our international market is probably at our Burger King business, both on the impact that modern restaurants can have on the brand perception. That's a really powerful thing that we see all across the world with our Burger King business, but also how digital can transform the business.  If you go to some of our restaurants, whether it's in Asia or Europe, increasingly in Latin America, they are much more digital, especially the in-restaurant transactions which are almost entirely run through kiosks. So some of those learnings are absolutely impacting how we think about where the BKUS business can go, and really the opportunity for that business to move the brand perception and quality of operations. 
Patrick Doyle: Yes I mean, the only thing I'd add to it is, I couldn't agree more on the Burger King side of that. I mean, you go to Burger King restaurants outside of the U.S., they look terrific. The food offering, the menu looks great, operations are great, they are very digitally focused.  We did a little over $4 billion in system sales at Burger King in the second quarter, and we grew that 18.4% year-over-year. We have clearly got some things figured out on the Burger King side outside of the U.S., and I think there's a great opportunity to bring those learnings, some of the operational systems that they've put in place, what they are doing with the food. I mean, there is a lot to learn. The Burger King business outside of the U.S. is overall in great shape, and we certainly want to bring some of that back into the U.S. 
Operator: Our next question comes from the line of Jeffrey Bernstein of Barclays. Your line is now open. Please go ahead.
Jeffrey Bernstein: Great. Thank you very much. Just a question on the global franchise sentiment, Patrick or Josh. I mean, it sounds like it's moving in the right direction for both BK and Tim Hortons in the home markets. I'm just wondering, what's the topic of conversations with the largest franchisees, maybe any kind of pushback you're getting? I know, Patrick, I think you said you're thinking the franchise-level profitability improvement still has lots to go, but just wondering, as you're having more and more of those conversations now, and maybe things are moving in the right direction, what is that greatest area of focus from the franchisee side of things? Thank you. 
Josh Kobza: Yes, so I'll share a couple of thoughts. I would say that improvements in franchise profitability are very much a front and center topic, and the good news there is we've been making progress across the board. So we've seen improvements in franchise profitability across all of the concepts, and that really helps a lot. We talked about it a lot. It's great to see the results coming through, and I think that resonates really well with our franchisees.  I think from there, now that we've made more progress there and we'll continue to be focused on that, I think a lot of the conversations we're having are turning to the future, where we can take the brands, some of the biggest growth opportunities, and how we go after those, make compelling investments for both ourselves and our franchisees to drive the business forward and win in the marketplace.
Patrick Doyle: Yes, and I guess the only thing I would add to that is, I mean, it really depends on where you are in the development of that business within each country. And I think what we've seen is we are proving out the theory that having these new brands that we can take into international with the knowledge base that we have across those markets, sometimes with some of the same partners, is a real advantage and a real differentiator for us. There is a lot of growth yet to come on the international side of the business.  But you almost have to put those markets into kind of three groupings. The markets that are just opening or haven't opened yet, and we're looking for the right partner, and getting things right for the launch in that market. Then you go through a period of time when you're kind of refining the business. You're making sure that you're getting the returns right at the store level. And that happens over the first couple of years that the market is open as you learn about kind of specifics of applying that brand into each market. And once you've got that right then you go into a fast growth mode.  And so, we've got lots of markets in each of those stages where we're just getting them launched or we're not there. We're kind of refining it if we're already in and it's early in the first couple of years and then once you've got those unit economics right, you just add lots of fuel and accelerate that growth.  And if you look at the results of each of the brands outside of the U.S., you kind of see that happening. You see a you know very big, very successful BK business outside of the U.S. And what are now at a run rate, both Popeye's and Tim's are now north of a billion run rate system-wide sales growing very, very fast. So it's exciting, but the answer is really a market-by-market answer depending on where they are in their evolution. 
Operator: Our next question comes from the line of Gregory Francfort of Guggenheim Securities. Your line is now open. Please go ahead. 
Gregory Francfort: Hey, thanks for the question. My question is, you guys have talked a little about just the work done on the Burger King U.S. side to improve kind of the quality of the food, the customer perceptions and I think you guys have focused awful lot on the all complaints ratio. Can you maybe dig down into kind of other metrics and then kind of the improvement either in taste or quality or just anything else that could help us frame how much that has changed if it's being driven by customer frequency or anything of that measure would be helpful. Thanks. 
Josh Kobza: Yes, good morning and thanks for the question. A couple of the things that I think Tom and the team are doing really well to drive taste and quality perception. One of them I referenced a little bit earlier. We've done a lot of training that's very focused on Whopper quality and that – like that actually makes a huge difference.  We've also been – a lot of the promotions that we've been doing have been focused on the Whopper, so those things are allowing us to produce a better product every day and we see that in the product satisfaction data and in addition to our overall guest satisfaction data or some of that ACR data. So we're seeing across the board and whatever the data source is, we're seeing pretty consistent feedback that guests are perceiving the products better.  The other thing that we're doing that helps is some of the work on the equipment side. So just making sure that all the equipment's in proper shape and we're upgrading equipment. That all has a really big impact on the quality of the product that we're able to produce at all the restaurants. So a lot of things going on, primarily operational initiatives that drive better quality and better quality perception for guests.
Operator: Our next question comes from the line of David Tarantino of Baird. Your line is now open. Please go ahead.
David Tarantino: Hi, good morning. I had a couple of questions about the Burger King U.S. average check trends and obviously elevated for Burger King in the second quarter like it was for a lot of other brands. So with inflation starting to ease, I wanted to get your thoughts on when we should expect to see the average check growth for Burger King start to normalize and perhaps be more consistent with what you've seen historically.  And then the second part of my question is, we started to hear from a few others that as inflation has come down, the promotional activity in the industry has started to inch higher. And just wondering kind of your thoughts on that dynamic and what your strategy would be if the environment were to get more promotional in the near term. Thanks. 
Josh Kobza: Yes David, a couple of thoughts on this one. One, in terms of the average check trend, I do think we'll see some moderation in some of those – two – probably two main things going on. One, we are seeing some moderation in terms of our input cost. So we've seen them coming down over the course of this year and the outlook for the full year moderating. So I think that will lead to a little bit less of price taking it for the back half of this year.  And then we'll also start to lap some of the reduction in discounting that we did in the back half of last year. So if you remember, we made some really important changes. Things like taking the Whopper off of two for five and we'll start to lap some of those things as you get through the back half of this year. And I'd say the combination of those two things will probably cause you to see a bit of a reduction in the size of the check Delta year-on-year as we move through the back half of this year and into 2024.  In terms of promotional intensity, we haven't seen a big change in promotional intensity across the industry yet, so nothing really to – nothing to share there that we've seen yet. 
Operator: Our next question comes from John Zamparo of CIBC. Your line is so open, please go ahead.
John Zamparo: Great, thank you. Good morning. My question is on Tim’s Canada. It's nice to see you brewed coffee, increase to above 2019 levels. I was hoping you could expand on the traffic commentary at Tim’s, specifically how that looks compared to 2019, and in particular the breakfast daypart. And obviously PM food is the main focus or at least a primary focus, but just like to get a sense of how much of you breakfast traffic as a remaining opportunity at Tim’s. Thank you.
Josh Kobza: Yes, John. As I mentioned earlier, we had fantastic comps and a meaningful part of that was traffic year-on-year, which is great. We still are at a little bit lower traffic levels than we saw in 2019, and I think to your point, some of that is in breakfast, and I think a lot of that's driven by changes in patterns of working from home.  I think that we'll have to see how that evolves in Canada. I think there's a lot of the patterns have sort of settled out for the time being, a little bit different patterns, and then what we saw three or four years ago, but we'll have to see how that evolves over time. 
Operator: Our next question comes in the line of Jim Sanderson of Northcoast Research. Your line is now open. Please go ahead. 
Jim Sanderson: Hey, thanks for the question. Just following up on the prior comment about Tim Hortons, can you provide us with a sense of what part of the same for sales in the second quarter was related to menu pricing? And just more broadly, your philosophy on how you look at pricing going into the back half of the year, as inflation starts to moderate for the Canadian Market place and for Tim Horton. Thank you. 
Josh Kobza: Yes, Jim. Part of the same store sales was coming from pricing. We're generally looking at CPI and what our competitors are doing. We're not too far off of any of those metrics. I do think to your question, we will see some more moderation as we get through the back half of this year. We're seeing some of the input costs start to come down and so our pricing that we take at the restaurant will probably decline it as well. And the other good thing that's happening, good dynamic that's happening within the space in Canada, is that our pricing continues to be lower than what you see at grocery and that helps traffic trends in the restaurant industry as well. 
Operator: As there are no additional questions waiting at this time, I'd like to hand the call back over to Josh Kobza for closing remarks. 
Josh Kobza: Great. Thank you very much. Well, I just want to thank everybody for joining us today. I'd like to extend our thanks to all of our teams around the world for the great work they’ve contributed to the quarter. Wish you all a great day and look forward to speaking more on our Q3 call.
Operator: Ladies and gentlemen, this concludes today's Restaurant Brands International Inc. second quarter 2023 earnings call. Thank you for joining. You may now disconnect.